Operator: Greetings, and welcome to CSW Industrials Fiscal Third Quarter 2026 Earnings Call. At this time, all participants are on a listen-only mode. A question and answer session will follow the formal presentation. If you'd like to enter the queue, please press star 1 at any time during this conference to enter the question queue. If anyone should require operator assistance during the conference, as a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Alexa Huerta. Thank you. You may begin.
Alexa Huerta: Thank you, Rob. Good morning, everyone. And welcome to the CSW Industrials fiscal 2026 third quarter earnings call. Joining me today on the call is Joseph Armes, Chairman, Chief Executive Officer, and President of CSW Industrials, and James Perry, Executive Vice President and Chief Financial Officer.
Joseph Armes: We issued our earnings release, updated Investor Relations presentation, and quarterly report on Form 10-Q prior to the market's opening today, all of which are available on the Investors portion of our website at www.cswindustrials.com. This call is being webcast, and information on the replay is included in the earnings release. During this call, we will make forward-looking statements. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Actual results could materially differ because of discussed today in our earnings release and the comments made during this call as well as the risk factors identified in our annual report on Form 10-Ks and other filings with the SEC. Do not undertake any duty to update any forward-looking statements. I will now turn the call over to Joe.
Joseph Armes: Thank you, Alexa, and good morning, everyone. It is my pleasure to begin by reporting that our team delivered record fiscal third quarter results in both revenue and adjusted EBITDA. Despite market headwinds and economic uncertainty that has been present for most of this fiscal year, and which has been most pronounced in the residential HVACR end market. Before commencing our regular quarterly commentary, I want to provide additional context for our strategic initiatives financial results in the quarter. CSW is a larger and more diversified company today than it was just three months ago when we last spoke to you. Capitalizing on our strong balance sheet and guided by our disciplined approach to capital allocation, we continued to invest in growth opportunities in a meaningful way. In this most recent quarter, we completed three acquisitions including the acquisition of Mars Parts, within our Contractor Solutions segment our largest acquisition to date, at $650 million. We also acquired Hydrotech's Holdings, and ProAction Fluids, within our Specialized Reliability Solutions segment. Which amounted to $26.5 million in aggregate investment. Considering the past twelve months to include the Aspen Manufacturing acquisition, we successfully executed four highly revenue, EBITDA, and cash flow accretive synergistic transactions with a total investment of approximately $1 billion. In addition, we've invested $70 million in open market share repurchases during the quarter, emphasizing our dedication to maximizing shareholder returns. Our financial was to maintain a long-term perspective and to invest opportunistically with great discipline even amid short-term volatility. Our capital structure now reflects these investments. In November, we strategically funded these acquisitions with cash on hand and low-cost debt capital, while always maintaining a net debt to EBITDA ratio well within our target range of one to three times. This ensures that we maintain a resilient balance sheet with ample liquidity for future investment. As we have committed to do in writing to you, our shareholders. These dynamics, with the magnified seasonality effects from the addition of the Aspen Manufacturing and Mars Parts businesses, make year-over-year comparisons of certain performance metrics less relevant. The interest expense generated by our new capital structure certainly impacts reported and adjusted EPS comparisons particularly when comparing to prior year periods when we were in a net cash position. Additionally, having deployed almost $1 billion in acquisition capital in the last year, our amortization of intangible assets will increase significantly, which also challenges comparisons. These items are excluded when providing EBITDA and adjusted EBITDA results which is why we continue to point you toward these metrics as the best multi-period comparison. Providing an update on the Mars Parts acquisition, we will remind you that at the time of acquisition, we reported that we expected to achieve $10 million of run-rate synergies and to reach a 30% EBITDA margin for this business within twelve months. We have already actioned a majority of the identified synergies and we now expect to exceed this initial objective. I am pleased to share that the team has done an outstanding job and accelerating the integration of Mars Parts into our contractor solutions segment. The conversion of this business into the contractor solutions ERP system was completed earlier this month, and other commercial integration initiatives including product harmonization, are well underway. In short, we confidently maintain our expectations to achieve our operational and financial goals for this acquisition. We have experienced encouraging order volume as we exited December and moved into January, as compared to the overall fiscal third quarter. Based on very recent detailed customer discussions, we have positive feedback that our customers' inventory levels are getting more imbalanced as their destocking plans have been or are being completed. Since going public in 2015, we have maintained that we generally expect mid to high single-digit organic growth through the cycle in our Contractor Solutions segment though quarterly volatility is common. While not recession-proof, this segment has shown impressive resilience due to the essential nature of our innovative products. While it is too early in the season to forecast what we expect, in calendar 2026 and for our fiscal 2027, we are cautiously optimistic and encouraged by order patterns starting to emerge. We expect to have a better view of this outlook on our fiscal fourth quarter earnings call in May. At this time, I will turn the call over to James for a closer look at our results. And following his comments, I will return and conclude our prepared remarks.
James Perry: Thank you, Joe. Good morning, everyone. As Joe mentioned, this quarter had a lot of moving parts, and I will address many of them in my remarks today. During the 2026, we delivered record revenue of $233 million, up 20% as compared to the prior year, driven primarily by our acquisitions over the last year. This was partially offset by a 2.9% in consolidated organic revenue concentrated in our Contractor Solutions segment. I will discuss the revenue trends by segment later in my remarks. Adjusted consolidated EBITDA grew 7%. Adjusted EPS for the fiscal third quarter was $1.42, demonstrating resilience amid challenging market conditions. Recognizing that this reflects a 21% reduction compared to the same period last year, the reduction in adjusted EPS was primarily driven by $10 million of higher interest expense as we moved from a net cash position last year to a net debt position this year. After strategically funding acquisitions, and share repurchases with cash on hand and low-cost debt capital. Adjusted EPS was impacted to a lesser extent by increased operating expenses from the acquired businesses before realizing the full effect of planned and actioned synergies as well as gross margin compression we have signaled all fiscal year driven primarily by the margin dilution from the Aspen Manufacturing, and Mars Parts acquisitions in Contractor Solutions. More granularly on the EPS adjustments, our fiscal third quarter included $6.6 million or $0.40 per share in acquisition-related transaction and integration cost net of tax, as well as $11.3 million or 68¢ per share of amortization of acquired intangible assets. Consistent with the updated adjusted EPS methodology we introduced in our fiscal first quarter. Consolidated revenue for the 2026 increased by $39 million or 20% when compared to the prior year period driven mainly by the aforementioned acquisitions. Inorganic growth was partially offset by lower organic volumes in Contractor Solutions due to continued destocking by our customers in the residential HVACR market. Consolidated gross profit in the fiscal third quarter was $92 million up 15%, with a gross profit margin of 39.7%, down 170 basis points from 41.4% in the prior year period with all segments experiencing some margin contraction. Our consolidated adjusted EBITDA for the fiscal third quarter reached a record $45 million representing a $3 million increase and 7% growth compared to the prior year period. Our adjusted EBITDA margin declined by 250 basis points to 19.2%, from 21.7% in the prior year quarter. It was primarily driven by the Martian dilution from acquired businesses prior to realizing anticipated synergies and higher input costs resulting from direct and indirect tariff impacts. We successfully mitigated a portion of these cost pressures through strategic pricing actions and reduced domestic freight expenses. During the third quarter, Contractor Solutions generated a $168 million in revenue, representing 71% of consolidated revenue and 27% growth over the prior year quarter. Growth in the quarter was driven by $42.7 million or 32.3% from acquisitions, partially offset by a $6.8 million or 5.1% organic decline due to lower volumes in a challenging market. As a reminder, our fiscal third quarter has always been our weakest seasonally due to lower repair and replacement activity in the HVACR end market. And that seasonality effect on revenues, and the associated absorption has been magnified. With the additions of Aspen Manufacturing and Mars Parts. Third quarter organic revenue decline reflects ongoing weakness in housing activity, and the reduction of distributor inventory levels heading into calendar year-end. After a strong summer, Mars Parts experienced modest year-over-year revenue growth of approximately 1% during the quarter since the time of our acquisition. While Aspen experienced a reduction of 23.7% for the quarter. Aspen's decline was expected and driven by the prior year's unusually high third quarter sales distributors ramped up their inventories prior to the manufacturing deadline for products using the R-410A refrigerant. Aspen's third quarter sales this year were more in line with normal yearly seasonal patterns. Since the May 1 acquisition date, Aspen's year-over-year growth has been 14%, demonstrating overall sales growing well above the market. As a result of the Mars, Aspen and Water Works fiscal third quarter results, we had a total reduction of 7.3% in organic revenue if we had owned these businesses last year. A metric we recently started reporting due to our large investments in acquisitions. Adjusted EBITDA for the Contractor Solutions segment was $41 million or 24.4% of revenue, compared to $37 million or 28.4% of revenue in the prior year period. EBITDA margin declined to lower gross margins from acquired business-related dilution prior to realizing anticipated synergies, partially offset by pricing actions and the lower domestic freight costs. On November 4, we closed the Mars Parts acquisition and contractor solutions for $650 million in cash, utilizing a $600 million five-year term loan A and borrowing from our renewed and extended $700 million revolving line of credit. This acquisition, as previously mentioned, expands our existing portfolio in the HVACR end market with the addition of motors, capacitors, other HVACR electrical components, equipment installation parts, and other components used by the pro trade for repairs and replacements. This acquisition also enhanced CSW's into repair parts versus replacement parts. Our specialized reliability solutions segment revenue increased 10.8% to $38 million from $35 million in the prior period. Growth in the quarter included $2.3 million or 6.8% from recent acquisitions, and $1.4 million or 4% from organic growth driven by the general industrial and mining end markets, partially offset by declines in the energy and rail transportation end markets. Organic revenue includes the realization of the price increase in this segment announced during the second fiscal quarter partially offset by unfavorable revenue mix. The adjusted segment EBITDA of $6.5 million in the third quarter fell 1.6% from $6.6 million in the prior year period. The adjusted EBITDA margin contracted 210 basis points to 16.9% in the current period, driven by revenue mix. As Joe mentioned, in the third fiscal quarter, CSW acquired HydroTex and ProAction Fluids, for approximately $26.5 million in aggregate diversifying our specialized reliability solutions segment's products, and end markets. The HydroTex acquisition expands our specialty oils and lubricants portfolio and ProAction fluids as products for horizontal directional drilling that infrastructure build-out. In conjunction with these acquisitions, and in response to the challenges in the SRS segment's end markets, our recent margin performance, we have undertaken certain restructuring actions earlier this month. Some of these were related to winding down the headquarters facility for one of the acquisitions. In the remainder of the acquisitions, we're at our main legacy facility, as proactive initiatives to streamline the combined operations. We do not take these actions lightly. But we expect them to enhance our margins going forward as we strive for a sustained 20% EBITDA margin in this segment. The benefits from these changes will take effect April 1, and we will report further on the one-time charges with these restructuring activities with our fourth quarter results in May. Our Engineered Building Solutions segment revenue decreased 1% to $28.5 million from $28.8 million in the prior year period. Segment EBITDA decreased 5% to $3.9 million representing a 13.7% EBITDA margin, compared to $4.1 million and 14.2% in the prior year period, respectively. The slight contraction in EBITDA margin primarily reflects higher material cost linked indirectly to tariffs. The backlog remained flat during the quarter with a trailing eight-quarter book-to-bill ratio remaining steady at 0.9 to one. We're encouraged by the improved mix in the EBS backlog, which includes more higher-margin products. And we expect this to benefit future results. Pricing actions to offset increased costs are ongoing, with additional increases planned on a project-by-project basis. Transitioning to our cash flow, we reported third quarter cash flow from operations of $28.9 million growing 165% compared to $10.9 million in the same quarter year. The year-over-year growth was primarily attributable to a $16.8 million tax payment made in the prior year fiscal third quarter which was deferred from the first two quarters of the prior year due to a temporary federal tax relief. Our free cash flow defined as cash flow from operations minus capital expenditures, was $22.7 million in the fiscal third quarter, compared to $7.8 million in the same period a year ago. The third quarter free cash flow increase of $15 million or 193.1% was primarily driven by the aforementioned tax payment deferral partially offset by higher capital expenditures in the current quarter. And was otherwise relatively flat year over year. Our free cash flow per share was $1.37 in the fiscal third quarter compared to $0.46 in the same period a year ago. Excluding the tax payment deferral, our free cash flow per share in this year's third quarter decreased by $0.09 or 6.2% from 1.46. Our effective tax rate for the fiscal third quarter was a negative 34.2% on a GAAP basis due to a benefit from the $6.4 million release of uncertain tax position reserves upon statute act expiration from the acquisitions of TruAir and Falcon several years ago. Our adjusted tax rate was 28.3%, slightly higher than our normal range due to several items that vary quarter to quarter and due to the lower seasonal profitability in this quarter. We currently forecast our fiscal year 2026 GAAP tax rate to be approximately 23% or 26% adjusted, which varies quarter to quarter due to specific items. Year to date, these rates have been 21.425.8%, respectively. As Joe mentioned, our amortization of intangible assets will increase due to the recent acquisitions particularly Mars Parts. Based on preliminary purchase price allocation accounting, we expect that annualized amortization of intangible assets will be approximately $63 million moving forward. As I mentioned, we funded this year's acquisitions using cash on hand from the September 2024 follow-on equity offering, revolver borrowings, and a new term loan A. At quarter end, we had $200 million outstanding on our revolver borrowings, and the $600 million term loan A. As a result of this debt, our third quarter fiscal 2026 had interest expense of $8 million as compared to interest income of $2 million in the same quarter last year. Including cash on hand, our net debt for covenant calculation purposes was $764 million, resulting in a net debt to EBITDA leverage ratio of 2.3 times. This results in an interest rate of SOFR plus 200 basis points. As a reminder, we execute an interest rate swap of SOFR at a rate of 3.416% for three years to hedge a portion of our term loan A debt. We maintain a strong balance sheet with a net debt to EBITDA ratio well within our target range of one to three times, ensuring ample liquidity to continue to support growth initiatives and all other elements of our capital allocation strategy. Underscoring this point and with the support of our robust free cash flow and healthy balance sheet, during the quarter, we opportunistically repurchased approximately $70 million of our stock in the open market, representing 283,000 shares at an average price of $246 per share. Reiterating our confidence in our ability to create long-term shareholder value. We continue to monitor tariff developments and their impact on our businesses. While our specialized reliability solutions and engineered building solutions segments face minimal direct exposure, both have experienced indirect effects from broader economic consequences of tariff policies. Each of these segments sources a limited number of inputs internationally but even certain US sourced materials have seen significant cost increases. The SRS segment has negligible sales in high tariff markets though those could be at risk due to geopolitical volatility. Within EBS, we factor higher cost into bids for new projects. Within contractor solutions, we're continuing to reduce third-party manufacturing in China. A strategy that's been underway for several years. By the end of fiscal 2026, we expect China to represent 10% of the segment's cost of goods sold. Vietnam, primarily through our owned facility, will be in the low thirties as a percentage of Contractor Solutions cost of goods sold. Other Asian markets will contribute about 15% within the segment while the remaining cost of goods sold is primarily in The United States. After product harmonization is complete, the Mars Parts acquisition is not expected to significantly alter this geographic mix. With that, I'll now turn the call back to Joe for his closing remarks.
Joseph Armes: Thank you, James. In the 2026, we delivered record third quarter revenue and adjusted EBITDA, propelled by 20% revenue growth from recent acquisitions that has significantly outperformed our acquisition models. We remain highly confident in our business and our ability to deliver above-market profitable growth thereby enhancing long-term shareholder value. We invested approximately $1 billion in acquisitions over the last year, demonstrating our confidence in the long-term strength of the residential HVACR plumbing and electrical end markets. Our strong balance sheet will allow our outstanding team to continue to execute on all elements of our capital allocation strategy across market cycles guided by our disciplined risk-adjusted returns analysis. We are proud of our demonstrated ten-year track record of creating sustainable shareholder value through prudent capital management and operational excellence. One of our guiding principles is to treat our team members well. And we remain committed to prioritizing the safety, and health of our employees. I'm very pleased to report that in calendar year 2025, we achieved a total reportable incident rate or TRIR of 1.1. An improvement from 1.2 in 2024 even as we acquired new businesses and integrated them into our environmental, health, and safety programs. This accomplishment reflects our ongoing dedication to maintaining a consistently safe work environment in our legacy businesses and enhancing the work environments of the companies we acquire. And I want to thank all of the CSW team members for their role in achieving this important milestone. We recently completed our biannual Korn Ferry employee engagement survey. This is a very broad-based survey that we believe provides instructive data and we are pleased to report that we had an impressive participation rate of 90% compared to eighty-five percent two years ago. We invest significant time analyzing these results and applying our learnings to enhance our employee value proposition. Having such a high level of employee participation is encouraging and it speaks to the strong employee-centric culture that we have at CSW. As always, to close my prepared remarks, I want to thank the CSW industrial team who collectively own approximately 4% of the company through our employee stock ownership plan as well as all of our shareholders. For your continued interest in and support of CSW Industrials. With that, Rob, we're ready to take questions.
Operator: Thank you. At this time, we'll be conducting a question and answer session. If you'd like to ask a question, please press 1 on your telephone keypad. You may press 2 if you'd like to remove your question from the queue. Before pressing the star keys. One moment please while we poll for questions. Our first question comes from John Kanowine with CJS Securities. Please proceed with your question.
John Kanowine: Hey, good morning. Thank you for taking my questions. My first one is, I think you mentioned you saw encouraging orders in January. Especially relative to Q3. I was wondering if you could maybe quantify in terms of orders and organic growth so far. And I know it's early and not your biggest month, but maybe a little more color just on the improvement degree from the last quarter would be helpful. Thank you.
James Perry: Yeah. John, thanks for being on as always. This is James. Appreciate that. Yeah. We exited December with a previewed good order rate. October and November stayed relatively soft as we expected and kind as we as we as we saw destocking continue with our customers. Were encouraged by December. The exit rate was good. Hard to quantify January yet, but Jeff certainly tells us that orders have been had been very good. We're pleased with that. We also referenced Joe did in his prepared remarks very detailed conversations with all of our top very thorough reports. Real-time even this week on their destocking plans. Encouraged by that, and, obviously, that shows up in order. Some are still working through it this quarter. I think a couple of the OEMs that have already reported said that they see this quarter people still working through it. So hard to quantify that from an organic growth rate. I don't think we'd get ahead of ourselves yet. But Jeff would certainly tell you that we're very encouraged by the order rates in January. We mentioned it very intentionally. I'll say we saw the same in the specialized reliability solution segment. Mark has seen similar order pace, as we as we entered the beginning of the calendar year. So we'll report fully on the quarter. Things will really, really get going in February and March, of course. But very pleased with what we're seeing so far, and it gives us encouragement. And as Joe said, cautious optimism leading into the busy season.
John Kanowine: Got it. That's helpful. And then you could give us a little more color on your recent acquisitions and what their expected seasonality is, I think that would be helpful just because I think it's been a little bit increased just in terms of seasonality basis with all the new businesses you've put in there? Maybe more specific, what are you expecting from the contribution in fiscal Q4 from acquisitions? You mentioned forty-seven or 45 million in Q3. What does that turn into? Just based on historical parameters?
James Perry: Yeah, John. Great question. Yeah. We've had Morris for just a couple of months now. So we're getting our arms around that fully. Aspen now will, you know, have it since May 1. So we're this will be our first January, February, March quarter. Know, we talked about Aspen was down a bit year over year just because last year such a buildup like the OEM saw with the equipment change. You know, we've said generally that our legacy contractor solutions business kind of a 50 to 55% in our, you know, stronger two fiscal quarters you know, forty forty-five, 50% in the others. Aspen and Mars are probably more like sixty forty. Breaking down quarter by quarter is still a little early for us to get to, and especially going through the first year with them, going through the disruption we've had in the market the last few quarters of course, with the destocking. So, you know, I think as we get through this quarter, we'll have a better sense. But they do they do exaggerate the seasonality, magnify that a little bit more because they're more repair focused. And, obviously, are not turning their air conditioners on, you know, certainly not with the cold snap we've had lately. Folks aren't turning their air conditioners on in, you know, December January, February, most places. So you don't know that you have a repair. Know, if someone buys a new house, they may go ahead and replace the system, so that's why that business tends to hold up a little better through the seasonality. But they're gonna exaggerate things somewhat, but I would ask that you kinda give us this quarter to get a better sense of what that looks like under our own ownership. And as we go along throughout the fiscal year, get a better and better look each quarter at how each of those perform. Anything else, John?
John Kanowine: Almost everybody.
Operator: Okay. Well, I'll take the next question. Our next question comes from Susan Maklari with Goldman Sachs. Please proceed with your question.
James Perry: Rob, we cannot hear the questions.
Operator: Okay. Can you hear me now?
James Perry: We can hear you, Rob. We if Sue's talking, we don't hear Sue. Our queue is on.
Operator: Hello? Susan, are you there, Susan?
Charles Brown: Yes. Can you hear it's Charles Brown for Susan. Can you guys hear me?
James Perry: Hi, Charles. Yeah. Can now. Thank you.
Charles Brown: Hey. Wonderful. Sorry for the technical difficulties, but good morning. I guess, first, I would love to ask about, you know, understanding your optimism for more normalized order rates coming through in HVAC. You maybe help us understand what the organic growth for this business could look like in, you know, calendar '26 over the next few quarters. If the housing market remains weak, you know, what is the confidence in your ability to return to, you know, your target mid to high single-digit growth over time?
James Perry: Yeah, Charles. This is James. You know, wish we had a real precise answer. As we said, it's a little early. I'll say a couple of things. You know, we've historically had a mid to high single-digit organic growth rate with contractor solutions. And that's through the cycles, obviously, this last year, we did not have that. We've certainly had years when that, you know, exceeds 10%. And you get back to that average. I think as we go through the next couple of years, we expect that type of average to return. What quarter we start seeing that? We're not sure yet. We're certainly, as we said, encouraged by the order volume we've seen in December and January. We're most encouraged by the anecdotal evidence we have in talking directly to our customers and where their inventory levels are terms of parts and accessories, which could be different from OEM. Inventory. So we're encouraged by that. I would also say, as we go through the year, we're gonna have easier comps. You know, last year's fiscal fourth quarter was up about 8%. You know, you kinda had to make up over the fiscal third quarter. So the quarter we just started, January, February, March, was pretty good last year because people waited to stock up because they were buying the OEM equipment in the November, December months, and then they stocked up on parts and accessories down in March. So this quarter's comp's a little harder. As we go through the year, obviously, the comps get a little bit easier. So I think when we talked to you in May, we'll have a much better sense than with a couple of months behind us of order. Order volume. You'll obviously hear a lot more from our customers. Those public and the ones that we talk to that we're happy to talk about. In terms of what their inventory levels look like. So when we return to that, we'll see. But you know, we've got a long history in this end market and in this business that tells us that know, a mid to high single-digit organic growth rate is what we expect in the long term.
Charles Brown: Okay. Now that's very helpful color. Second, I just like to touch on pricing. Can you provide the latest on what you're seeing on the contractor solutions side? And considering the moving pieces in terms of tariffs and other input costs, how do you approach decisions to maybe get more pricing over time in this business this year?
James Perry: We've been reactionary in terms of tariffs, obviously. The last couple of years, we've taken our annual price increase in January. And that's worked its way through the system and been well received. I think as we always say, that gets passed all the way through the system. Where we are in the value chain is very important. People pass that through as well. As you know, we took a bit of a midyear price increase to cover our tariffs, and that's really starting to get fully impacted now quarter we just started. It takes a little while to get through the system. So as long as tariffs remain steady for the most part, we think we've covered that now. You've seen some, obviously, some price increases on the metals side. Some of that starts to impact us. Aluminum affects us in EBS. Even something like silver can have a bit of an impact for us. We're watching that closely. Not a big impact yet, but we're watching things like that as commodity prices continue to go up. We think what we've done in terms of pricing is what we need, but we have never been shy about taking price increases and pushing those through. If we see the cost moving up. And we're very transparent with that with our customers. That gets passed through the system, like I said. We don't do that early or until we need to. You know, last year, as you recall, tariffs kinda spiked, came back down. We waited, and I think our patience was rewarded with customer response. On how we handle that in terms of the industry. And so we will not be hesitant to take pricing as we need to. Last fall, we took price increases within specialized reliability solutions and passed that through the system. Within EBS, that's a project-by-project basis. So we're not going to let the shareholders bear the brunt of cost increases. We will continue to pass that through as warranted.
Charles Brown: No. That makes sense. Thank you for that. And if I can squeeze one last question in, maybe for James. Can you provide an update on your capital allocation priorities from your obviously, you're sitting near the midpoint of your targeted leverage range. And, you know, are you willing to do more acquisition in the near term? And what is the pipeline for M and A that you're seeing today?
James Perry: Yeah. I'll pass some of this over to Joe Charles, if you don't mind. But, you know, we will certainly work to pay down our debt. But we're sitting at a 2.3 times on the covenant. We've been there before after the Truer acquisition. We were right on that same number, in fact, and we're that down over time. We've got strong cash flow. You know, as we get into the next couple quarters, these acquisitions, the power really gonna show the cash flow that they generate similar to our legacy business. So we're gonna have the opportunity to do that. You know, that leverage ratio obviously moved up from the acquisitions, but we also repurchased $70 million of stock in the quarter. You know, we've got certain levels at which we do that, and that got triggered, and we did that. And we think having an average share price of $246 in that repurchase program last quarter is gonna look very attractive long term. Create a lot of value for the shareholders. So we made a very intentional decision to take on a little more leverage to do that. But we're very comfortable with 2.3. We see that coming down over time from the results of our cash flow. And I'll let Joe talk about of our thoughts on M and A right now.
Joseph Armes: Yeah. Thank you, James. I think as James said, I mean, free cash flow and our cash flow is gonna very impressive as we move through the year with these acquisitions. We do have a period of digestion here. I've been asked about, you know, future acquisitions and how long will it take to be able to you know, be in a position to do another acquisition. And I've said that will be quarters, not years. The integration is going exceedingly well. We are very, very pleased with the team's performance on that, and therefore, we're hitting all of our targets. We're exceeding. And so we're very pleased with that. So, again, that would be quarters of digestion, not years. And but that also gives us quarters to pay down debt, and we will do that with our capital in the meantime. And we are disciplined. We are very rigorous in our analysis, in our thinking about returns on those investments. And so but but we're we're in a bit of an execution mode right this moment. But again, that will last quarters, not years. And I think all levers are available to us. And we're just gonna be very mindful of how we move forward. And continue our track record of carefully allocating capital to the highest risk-adjusted return opportunity and that that's paid off for us so far.
Charles Brown: Thank you for the time, guys, and good luck for the quarter.
James Perry: Thanks, Charles.
Operator: Our next question comes from Natalia Bak with Citi. Please proceed with your question.
Natalia Bak: Hi. Good morning.
James Perry: Morning, Natalia.
Natalia Bak: I lost connection for a bit, so I'm not sure if this was asked. But I'll just ask it anyway. Just curious that given the colder weather and snow we've recently seen, have you observed any, like, near-term pickup and replacement activity or pull forward within the contractor solution solutions? Segment in this quarter?
James Perry: Yeah. I don't think we see much impact there necessarily. You know, we've got less exposure on the heating side. So to speak. Obviously, there's some there, but, you know, it's more on the air conditioning side. You tend to have something like this every year or two, so it's not terribly unusual in terms of changing patterns. I think, Natalia, all I would say so far, obviously, a look back will be valuable, you know, a few weeks or a couple months from now. But, you know, we talked about the order volume has been, you know, at a very encouraging pace. As we exited December and January, seeing very nice orders. In the contractor solution business as well. The only direct impact we've seen so far is we lost a couple shipping days some of our facilities. We'll make that up in the quarter, so we're not concerned about that. So we don't see any negative impact. In terms of tailwind, I think Tom will tell, but you know, we see more of that in the summer when it gets exceptionally hot on the air conditioning side than in the winter when it gets exceptionally cold.
Natalia Bak: Got it. That's helpful color. And then just on the acquisition front, I think earlier you mentioned that you expect to exceed the initial cost synergies that you outlined. So I'm just curious, what inning are you in or the margin maturity curve today? Versus where you one first, when you initially closed on acquisitions and how much additional cost synergies do you expect to now realize from them?
James Perry: Yeah. This is James, Natalia. Thanks for that. Yeah. Joe did mention that, and we're really pleased that we see in excess of $10 million just a couple of in, I don't think we're ready to quantify that quite yet. We've got some internal goals that we always had internal goals that exceeded 10 million, but now we feel comfortable saying that we're gonna exceed them. Terms of innings, I'd say on the margin side during the first couple innings. You know, we said that's a twelve-month target where, you know, two and a half months into the acquisitions, maybe you're in the second or third inning. And it's the seasonally low quarter. So you can only do so much from a margin perspective. But we remain on track and are very comfortable with continuing to talk about a 30% margin. I'll say this. Mars has been fully integrated. So being able to directly pick out a margin is gonna get difficult for us, but we're tracking it awfully well. In terms of the synergies, I'd say we're more in the middle innings because we've actioned these synergies. You know, a lot of it was folks that didn't come with the acquisition day one. You know, we've wound down a facility. We have, you know, another you know, the rent coming off of that facility as we go along. So we have actioned the vast majority of the 10 million and now even beyond 10 million of synergies. But it takes the twelve months to really see that roll through. Obviously, that's an annualized type number. So you know, I think we're in the middle innings in terms of actioning. But you're still similarly in the first couple innings in terms of a pro rata and what we're seeing so far given that's a twelve-month goal.
Natalia Bak: K. That's helpful. And then just one last quick question. Just switching over to SRS, adjusted EBITDA margin contracted in SRS. And I believe last quarter, mentioned that you implemented a price increase. So how much of the margin pressure is due to timing lag in pricing versus structurally higher material costs? And when do you expect pricing to fully offset the material inflation in the segment?
James Perry: Yes. I think that we've seen the price increase come through now, Natalia. So that offset the that part. tariffs. I think we're there. That was done prior to last quarter end. So I feel comfortable with The biggest change this quarter was mix. You know, when the energy markets or some of our more attractive products and they were down, you obviously see less drilling activity and some of those things. So as the energy markets are softer and our product mix shifts away from that, then you you're gonna see potentially lower margins. I'll reiterate though that, you know, we mentioned in my remarks that the acquisitions are gonna be favorable to us as we kinda get through a year of having those. We've got synergy and margin goals with the acquisitions while small. Gonna be important to us. They also to continue to diversify our end markets, more in the food and beverage market, for example, which is attractive. More in the horizontal drilling market. Infrastructure continues to be attractive, so we feel good. About their contributions. And then we mentioned we took the opportunity, and we really give Mark a lot of credit for the proactivity here. We took some restructuring, activity earlier this month. Both with shutting down the headquarters facility of the acquisitions, which was part of the plan, But we also saw some some administrative and other roles that we could reduce and combine and give others more responsibility at our legacy facility here just outside of Dallas. We'll have some charges here in the fourth quarter that we'll quantify on the earnings call. Those will all then be tailwind for us as we enter the new fiscal year, April 1. So when we look at a margin in the mid-teens the last couple of quarters with a goal of 20%, sustainable, Mark, and working with the team looked at that and said, we've gotta get to the 20%. And taking these acquisitions into effect with these restructuring activities. Gives us better sight to that goal.
Natalia Bak: That's helpful. Thank you. That's it on my end.
James Perry: Thanks, Natalia.
Operator: Our next question comes from Tom O'Shanall with JPMorgan. Please proceed with your question.
Tom O'Shanall: Good morning, everyone.
James Perry: Good morning, Tom. Hello.
Tom O'Shanall: Hi. And congrats on TRR, by the way, and my first question is regarding margins. How purchase how how participant how sorry. How persistence do you expect the one-off cost such as integration, inventory write-downs, recognized in this quarter to be going forward? Like, when do you anticipate margin recovery once these costs subside, please?
James Perry: Yeah, Tomo. This is James. Thanks. I really appreciate you mentioned the TRIR. We know how important it is to you, and it's of highest importance to us. So seeing that come down this year, was really an exciting achievement to be able to report. In terms of margins on Contractor Solutions, we'll continue to have some integration expenses. Transaction expenses will be behind us. Those were kind of you know, because of the acquisitions of Mars, Hydrotech, some ProAction during the quarter, So those were specific expenses related to that. Not only the acquisition expenses themselves, the pro formas that we put out a couple of weeks ago, We're at the corporate level. So, you know, we have those calls. I think those are for the most part behind us. We'll continue to have some integration expenses. The ERP integration just went live two and a half weeks ago at Mars, so we'll still have some integration expenses. We will quantify and adjust that out. But I think as we get through this quarter, most of that should be behind us. be coming as we go throughout the year. So We still have to do the ERP implementation for Aspen. However, that'll we'll have some integration expenses, but we'll be sure to identify that for you that's why we continue to point to an adjusted EBITDA margin as being the best comparative tool and we feel good about using that. There another part to the question? Sorry if I missed that. Oh, the the the other thing you mentioned, I apologize. The inventory write-off that we had, that was one time in nature. That was related to a specific distribution relationship that terminated. We've since replaced that product in our product line. The customers have received that very well over last few weeks and weeks since we were able to start marketing that. That specific callout was one time in nature.
Tom O'Shanall: Thank you, James. And my, follow-up is EBS business. We didn't touch, that much in a q and a session. So could you update the color of, the market outlook as well as your growth strategies margin improvement initiatives for EVS business, please? Because you got the one billion m and a on basically CS business, SRS business, but not for EBS business. So could you talk about organic and inorganic strategies and margins for this business, please?
Joseph Armes: Sure, Tomo. This is Joe. I would say EBS is always been our most cyclical business and the commercial construction market continues to be really pretty tough out there. We've been very pleased with performance of our team and bucking that trend and showing some growth. Various quarters, and, to serve our customers really, really well. I would say that the opportunity for organic growth is still out there. One of the great things about this business is it's small and you win a project or two and it really makes a difference. And we are very pleased with the reception in the marketplace of some of our new product development work, especially in EBS where we have brought some new products to market that are being specked into projects, and we would say that that is a really good opportunity for us to see organic growth. But the market's tough. We continue to point to the Toronto market that really blew up over the last couple of years, added a significant chunk to our backlog. That is now being revenue. It's not being replaced in the backlog. The new, starts for high-rise residential in Canada has changed dramatically. But we're not seeing cancellations out of the backlog. We're not losing any business there. And so those projects are revenueing. And so, you know, we're benefiting from that as well. So new product development's probably, our best opportunity for organic growth in this tough market. But I think one of the things that we see with EBS is we are really well positioned for when the market does come back. We are serving multiple property types. We have focused highly on institutional hospitals, things like that that are high end and kind of set the standard for other types of construction. Within that market. And so we think there is organic growth opportunity there for us. If the market would come back, I think you'd really see a nice uptick there.
Tom O'Shanall: Thank you, Joe. That's all from me.
James Perry: Thank you, Tomo.
Operator: Our next question comes from Jon Tanwanteng with CJS Securities. Please proceed with your question.
Jon Tanwanteng: Hi. Thanks for taking the follow-up. I was wondering if you could just give your high-level thoughts on what you think housing demand and home improvement demand looks like heading into, you know, calendar twenty-six. And beyond that, if there's any specific puts and takes that we should be applying on top of that, like lapping the refrigerant change or others like that.
James Perry: Yeah. John, it's James. You know, we're all hopeful, of course, that housing activity picks up. New housing activity continues to stay pretty soft, it looks like. You look permit numbers, it stayed soft. Existing home sales, we've seen some green shoots there, it looks like. Know, mortgage rates have dipped now and then, and you've seen the pickup on that. And as we talked about on the last quarterly call, you know, a good number of existing home sales come with replacement of units. That would be a good thing. Know, I think we'll see in the first couple of months here if mortgage rates start to move, what consumer confidence does in terms of mortgage rates, and there's a lot of pent-up inventory, it sure seems, that people willing to give up the lower mortgage rates to move has been challenging. You know, we would say that, obviously, the order rates we've seen this quarter, you know, so far could give us a little bit of positive signs there. Probably a little bit early. You know, another thing I would mention is, you know, someone else mentioned on a call earlier this week in the industry that, there's been a lot of repair business last year, and we think that continues this year. We're not sure when that shifts back, obviously. And, obviously, now with the diversification of Mars and Aspen, we've got good exposure and much better balance between repair and replace. Eventually, those repair jobs turn into a replacement. You know, they may buy you a couple years, there's no doubt that housing activity is key, and or a few years, but eventually, units do need to be replaced. But I think you've hit right on it. And when Charles asked earlier about organic growth rates, if you can tell us what housing's gonna do, we'll have a much better sense of that. And as our teams right now are going through the budget process, you know, our fiscal year being April 1, we're going through the intense budget process right now. Obviously, housing activity is a big key to that. So we're watching the same data you are. We watch the weekly permits. We watch the weekly inventory numbers, the weekly mortgage rates, and that informs us on what we think we could expect, and we hope to see some continued optimism in the next couple months.
Jon Tanwanteng: Got it. Thank you. And then two quick timing questions. You mentioned higher margin backlog flowing through an EPS. When do you expect that to hit, number one? And then number two, you mentioned trying to achieve the 20% margin consistently in SRS. What's the timeline or your expected schedule to arrive there?
James Perry: Yeah. On EPS, you know, the better backlog is coming over the last couple quarters and those usually have anywhere from sixteen to eighteen months turnaround. So I think we'll start seeing that. Still have some of the lower margin, you know, projects in the backlog. So that offsets that. So know, John, I think we'd like to tell you that know, as we exit the fiscal year next year, you're really getting a lot closer to that goal that we've put out there. Again, we're going through the budget as we speak. So if you can let me kinda put a pin in that till May, we'll give you a little better sense of expectations as we go through the budgeting process I just mentioned. In terms of SRS, I kinda give you the same answer, but, you know, they're in that 17% range a little more consistently recently. And the acquisitions coming in and with the restructuring that we've taken once we adjust that out during the fourth quarter, I think you're closer to seeing that 20% sustainably in the next few quarters.
Jon Tanwanteng: Great. And then final one for me. Just a little more detail on the two smaller tuck-ins you did. Any mention of on revenue and kinda what the margin was there as well as the growth potential?
James Perry: Yes. John, I would say both should be accretive to the margin profile of that segment. One of the reasons we did it. It gave us the benefit of both diversifying end markets and being accretive to our margin profile, so that's good. Growth, we expect to be able, again, to take their momentum and also add, you know, our Salesforce to that. Our distribution channels, they've opened up a couple of new end markets for us, namely would be food beverage. Where we've seen really nice growth. Already. And then also agriculture, which is something we have not done any of. And so we've we're we've got high hopes for that. You know, that's a GDP plus business. And so growth of, you know, mid-single digits organically would be a good rate for that business. We think we can do that and more. With these acquisitions providing some tailwind. But, the margin accretion is also really important to us on that. To show over the next few quarters. John, in terms of revenue, you know, pacing, you know, we said we had $2.3 million of contribution in the quarter from those. That was just a couple of months' worth. Also, you know, for something like horizontal drilling, especially a bit of the slow season, So I think, you know, that kind of run rate, you know, a million a month or so is what you were seeing. That's a little on the lowering because of seasonality. So, you know, you know, that I think you could see, you know, percent or so revenue opportunity accretion from that. But we'll give you a little more details. We get to a full quarter of owning these businesses and what that looks like. But the team is really excited, and Mark's already reported some good opportunities in those businesses now that we own them in terms of, sales.
Jon Tanwanteng: Perfect. Thank you.
James Perry: Thanks, John.
Operator: Thanks, John. Okay. We have reached the end of the question and answer session. I'd now like to turn the call back over to Joe Armes for closing comments.
Joseph Armes: Thank you, Rob, and thank you, everyone, for joining us for this quarterly report. We appreciate your support and interest and look forward to talking to you again in May. Thank you.
Operator: Today's conference. You may disconnect your lines at this time. And we thank you for your participation.